Operator: Greetings, and welcome to the 3D Systems Conference Call to discuss the Results of Fourth Quarter and Full Year 2019. My name is Kevin, and I'll facilitate the audio portion of today's interactive broadcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded.It is now my pleasure to introduce your host Melanie Solomon, Investor Relations. Please go ahead.
Melanie Solomon: Good afternoon, and welcome to 3D Systems conference call. With me on the call are Vyomesh Joshi, our President and Chief Executive Officer; Todd Booth, Executive Vice President and Chief Financial Officer; and Andrew Johnson, Executive Vice President and Chief Legal Officer.The webcast portion of this call contains a slide presentation that we will refer to during the call. Those following along on the phone who wish to access the slide portion of this presentation may do so on the Investor Relations section of our website. Participants who'd like to ask questions at the end of the session related to matters discussed in this conference call should call in using the number provided on this slide and in the press release that we issued today.For those who have access to streaming portion of the webcast please be aware that there may be a few second delay and that you will not be able to post questions via the web. The following discussion and responses to your questions reflect management's views as of today only and will include forward-looking statements as described on this slide.Actual results may differ materially. Additional information about factors that could potentially impact our financial results is included in today's press release and our filings with the SEC, including our most recent annual report on Form 10-K and quarterly reports on Form 10-Q.During this call, we will discuss certain non-GAAP financial measures. In our press release and slides accompanying this webcast, which are both available on our Investor Relations website you will find additional disclosures regarding these non-GAAP measures, including reconciliations of these measures with comparable GAAP measures. Finally, unless otherwise stated, all comparisons in this call will be against our results for the comparable period of 2018.Now, I'm pleased to turn the call over to Vyomesh Joshi, our CEO. VJ?
Vyomesh Joshi: Thanks, Melanie. Good afternoon, everyone. In 2016, I shared my vision and strategy for how 3D Systems would make 3D production real. It would require customer collaboration and innovation with experience and expertise of our people as driving force. We demonstrated last fall at Formnext in Germany how our digital manufacturing solution strategy has come alive with customers realizing the benefits of our production solutions, across a range of industries, including health care, dental, aerospace, automotive and durable goods.Our company has a unique ability to architect solutions, specific to customers' needs through a combination of breakthrough materials, hardware platforms, software and professional services, creating a path forward to integrating additive into traditional production environment. As a result, manufacturers are able to achieve design freedom, increase agility, scale production, and improve overall total cost of operations.Our customers are accelerating adoption of additive manufacturing. And that journey to moving from no experience to using additive manufacturing as a sustainable competitive advantage is where 3D Systems can help.Over the last three years, there has been a sharp increase in using additive manufacturing for functional parts. According to E&Y global report, 18% of companies are using additive manufacturing in serial production. So we are crossing the chasm. We partner with our customers to help them progress through their additive manufacturing journey and accelerate the adoption of additive within their existing production environment. This process begins with the customers' application in mind designing the best possible solution to achieve their needs and successfully address challenges.Customers are encouraged to begin their additive manufacturing journey by engaging with one of our customer innovation centers. There a customized production workflow solution will be designed to accelerate the development of advanced applications by providing customers with access to solutions, domain expertise, and state-of-the-art technology.We have been working closely with our customers to find the right production workflows. And last year, more than 200 million production parts were produced by our customers using 3D System solutions.Turning to the highlights of 2019 with a commitment to operational excellence, we have been keenly focused on cost structure and cash flow. In 2019, we lowered the operating expenses by 9% driven by cost-cutting and improving efficiencies across the organization. We expanded our relationship with Sanmina, to include most of our plastic printer manufacturing on top of the existing arrangement for Figure 4 production, which provides us variable cost model while ensuring world-class manufacturing proficiency.We generated $21.5 million of cash from operations in the fourth quarter of 2019 as a result of improvements in working capital, including planned inventory reductions. We have stabilized the company and strengthened the foundation on which to scale and grow. We introduced 14 new production materials in 2019 and we now have over 130 3D printing materials available.I'm very pleased that in the second half of 2019, we returned to growth in materials. Our health care business is strong. And excluding our major enterprise customer health care grew 10% in 2019.Now, turning briefly to the fourth quarter results. Total revenue in the fourth quarter was $164.6 million, reflecting a decrease of 9%. Materials grew 7% over the same quarter last year. GAAP gross profit margin was 43.6% and non-GAAP gross profit margin was 43.8%. We reported GAAP loss of $0.04 per share and non-GAAP earnings of $0.05 per share.In 2020, we are poised to grow profitably. Metals will be a growth opportunity in 2020 and we are on track to begin shipping factory metal platforms in April. Health care continues to be the important area of focus for the company and we expect medical device manufacturing, medical simulators, and professional services in our healthcare business to continue to grow in 2020.We have incredible software assets. And with our new product introductions and go-to-market enhancements, we will start growing software in 2020. We remain focused on profitability and cash generation. We have built a foundation on which to scale and grow and we are structuring the company to be lean and profitable.Todd will now provide more details on our results for the fourth quarter of 2019. Todd?
Todd Booth: Thanks VJ. Good afternoon everyone. For the fourth quarter, we reported GAAP revenue of $164.6 million, a decrease of 8.9% compared to the fourth quarter of 2018 and a 7.3% decrease when excluding the entertainment business.GAAP gross profit margin was 43.6% compared to 45.7% in the fourth quarter of 2018. GAAP operating expenses decreased 14.6% to $76.5 million. We reported a GAAP loss of $0.04 per share in the fourth quarter of 2019, the same as in fourth quarter 2018. We reported non-GAAP earnings of $0.05 per share in the fourth quarter of 2019 compared to earnings of $0.10 per share in the fourth quarter of 2018.Printer revenue decreased 22.8% to $33.6 million due to the delay in factory metals printing shipments, the ordering patterns of a large enterprise customer, and the softer macro industrial environment.Materials revenue increased 7.3% to $45 million in the fourth quarter. Healthcare revenue decreased 5.9% to $54.9 million. On-demand manufacturing revenue decreased 17.2% to $23 million in the quarter, attributable to the decline in the manufacturing activity and impact to the pipeline from the now-resolved government suspension.Software revenue decreased 10.2% to $25.8 million in the fourth quarter, primarily due to weakness in the European automotive market and overall industrial manufacturing. In the first quarter of 2020, we are expecting a typical seasonal decline further impacted by the coronavirus outbreak in China.We reported GAAP gross profit margin of 43.6% in the fourth quarter of 2019. Non-GAAP gross profit margin in the fourth quarter of 2019 was 43.8%. The results were impacted by factory utilization, mix, and inventory adjustments. We expect gross profit margins to remain in the mid-40s range in 2020.GAAP operating expenses for the quarter were $76.5 million, a decrease of 14.6% compared to the fourth quarter of 2018 including a 10.3% decrease in SG&A expenses and a 27.2% decrease in R&D expenses.Non-GAAP operating expenses in the fourth quarter were $66.4 million, a 12.3% decrease from the fourth quarter of the prior year and a 4.2% decrease sequentially. Compared to the 2018 quarter, non-GAAP SG&A expenses decreased 5.7% to $49.2 million. Non-GAAP R&D expenses decreased 27.2% to $17.1 million. Non-GAAP operating expenses decreased due to continued focus on reducing cost structure and favorable timing of customer-funded research and development.We ended the quarter with $133.7 million of unrestricted cash. We generated $21.5 million in cash from operations and paid down debt by $10.8 million during the fourth quarter. Working capital performance improved sequentially as we reduced inventory by $11.6 million to $111.1 million. While cash used in generation will continue to fluctuate period-to-period, we are very pleased with the cash results for the fourth quarter.With that I'll turn the call back to VJ. VJ?
Vyomesh Joshi: Thanks Todd. Before we begin Q&A, I want to make a comment about my planned retirement. I joined 3D Systems four years ago and have worked with the team to improve our product portfolio, business processes, cost structure, and culture. We made a lot of progress on quality and reliability and our Net Promoter Score improved to 65.We have executed a digital manufacturing solution strategy encompassing the whole portfolio and our customer engagement model including our customer innovation center is guiding our customers through the journey of additive manufacturing with 3D Systems.I feel confident now that we have the right products in place with the right team to execute our growth strategy. I'm committed to working with the Board to find an appropriate successor and will remain involved in the transition.I want to take this opportunity to thank all our employees and customers for their loyalty and dedication as we work through the recent turnaround at 3D Systems. I continue to believe that our focus on innovative production solutions including hardware platforms, materials, software, and professional services will drive profitable revenue growth in 2020.And with that we will now open the floor for questions. Operator?
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Greg Palm from Craig-Hallum Capital Group. Your line is now live.
Greg Palm: VJ, Todd, good afternoon. Congrats on the nice end to the year here.
Vyomesh Joshi: Great Greg. Yes. No, we feel good about especially our earnings per share performance and the cash that we have -- the operating cash that we did $21.5 million. Go ahead but ask the question. Thanks.
Greg Palm: Yes. No, it was good. I mean I guess I'll start with you VJ. Any way to detail out some of these headwinds you saw in 2019 on the topline whether that was the lack of metal shipments the export compliance lower system shipments in your enterprise customer? You seem pretty confident in the ability to return to growth this year company-wide. So, I'm just trying to get a sense for what were the company-specific headwinds you faced last year?
Vyomesh Joshi: So, I think you talked about all three. So, the first is, of course, the metals. We had to delay shipments to the second quarter of 2020. And I think as we talked about, we are very confident now that we'll start shipping in April.The second one is the enterprise customer they were building the factory in China. They had really asked for a lot of hardware shipments in 2018 which was not the same level in 2019, so that was the second one. So now having that behind us we should be able to now looking at the real growth in our plastics printers also that will be happening in 2020.The third thing is the whole export compliance issue not only impacted our OEM business, but a lot of our businesses especially with the suspension that's behind us and we should be able to start growing the ODM business with right kind of a focus on the go-to-market that we are having on the ODM business. It is going to be 1/3 a very important part.The last one is software. We had a lot of headwinds in 2019 in the software business because of the automotive segment in Europe. And the overall -- the industrial manufacturing segment was down. So getting that software now on the growth path with our new product introductions and we have now focused go-to-market under Wayne Davey for healthcare and software will also make a big difference in 2020.The other important thing that I want to state is our healthcare business as I talked about. If you take the enterprise customer out, in 2019 grew 10% and we'll continue to grow our medical device manufacturing business, our simulator business and our Virtual Surgical Planning business.So I feel very good about that some of the headwinds are not going to be there in 2019. Of course, we need to be really prudent and making sure that we continue to focus on our production workflows. The new material that we introduced with our Figure 4 should also help us. And other headwind like coronavirus, I think we need to pay attention to it. But we believe that we are really very well set up for profitable growth in 2020.
Greg Palm: Good to hear. Do you have a backlog number for the metals portfolio? I know at one point you had talked about a delay in I think $8 million was the number you gave several quarters ago. But what's the backlog? And should we assume that you get a big level of shipments right away in Q2? Or will that sort of ramp as the year goes on?
Vyomesh Joshi: So it will ramp. But clearly in Q2, we'll start shipping both Factory 350 and Factory 500. And the great thing about this is our customers are patient and we were very open with them that you know we have this issue that we need to solve before we start shipping.So I'm very encouraged by our customers' responses and I absolutely believe we will start ramping starting in Q2. But those three quarters will be very important for the growth. We are not giving any exact number, but it will be a significant growth in 2020.
Greg Palm: Okay. Makes sense. I guess last one and I'll hop back here. You mentioned kind of the typical -- I don't know if it was you or Todd that mentioned the typical seasonal decline expected from December to March quarters that's a range. I mean if I go back and look over the last 5 years anywhere from 6% to 20%. So what in your mind is a normal seasonal decline from the December to March quarter? And I guess...
Vyomesh Joshi: So yes, we don't expect 20% but I think normal would be as you said 6% to 7%. But we don't want to give exact number because we also need to really understand the impact of coronavirus and that impact probably will happen in three ways. First one, our ODM factory in China we are not able to operate that.The other thing is, we need to really pay attention to the supply chain and some of the product shipments that we have to do in China and other places where we may have an impact because of the supply chain.And the third impact, our customers who buy a lot of materials they will also have an impact because of the coronavirus. And I think we need to really understand that. For now, it's not material but we just want to make sure that we pay attention to that.
Greg Palm: So maybe 6% to 7%, but building a little extra conservatism given everything that's going on out there?
Vyomesh Joshi: That's right.
Greg Palm: Got it. Okay. Thanks for the help. Good luck.
Vyomesh Joshi: Thank you. Perfect.
Operator: Thanks. Our next question today is coming from Jim Ricchiuti from Needham & Company. Your line is now live.
Jim Ricchiuti: Good afternoon. VJ congratulations on the progress you've made at the company, the last couple of years. Questions for you, I'm just wondering you gave a good breakout for the healthcare business, excluding the enterprise customer for 2019. What was it in Q4? What kind of -- how did the business in the healthcare area shape, up excluding that customer?
Vyomesh Joshi: Sure. Sure. So in Q4, if you take the enterprise customer - it's sort of a decline of 6.9%. We were at 4% kind of decline. But if you take the other printer hardware, we actually grew the business close to 13% in Q4. So the thing that I talked about the medical device manufacturing, the medical simulator business and the Virtual Surgical Planning at our growth engine in the healthcare and I believe -- absolutely believe that we will continue having that kind of a growth in 2020 and better.
Jim Ricchiuti: Got it. That's helpful. And just on the OpEx side, you guys have really done a nice job controlling OpEx. I was surprised to see the decline in R&D, how should we think about -- maybe it's a question for you Todd. How should we think about OpEx looking out to Q1? Is there anything unusual in that R&D line in Q4? Or is that kind of a basis sort of...
Todd Booth: So the way to look at it in Q4 we did have some favorable timing. Without the favorable timing you would look at a 17% decrease and we feel our cost structure is in place. So you should look at that going forward.
Vyomesh Joshi: So I just think that the most important thing is, we are taking the R&D down. We are taking the SG&A down, but not that significantly. I think we must invest in innovation that's very important to us. But I think we got this specific payment that we got and the timing of that in Q4. So I do believe we have done a very good job in our cost structure. But I think we need to really have a right balanced approach making sure that we invest in innovation.
Jim Ricchiuti: Got it. And last question for me is, you gave some color on how we should think about the metals opportunity this year. I'm wondering about the overall new product cadence and how you see that unfolding over the first couple of quarters of 2020? Thanks.
Vyomesh Joshi: So I think the new products -- so our dental business is doing extremely well. We have been talking about that for last 15 months. We had a big show last week in Chicago and we introduced some new software technology with, which you will be able to do stacked printing and we got incredible positive response from the show.So I do believe the dental is definitely a growth opportunity for 2020. The new materials that we introduced in fall of 2019, we are getting a lot of great traction. And we are finding our stand-alone and the modular industrial Figure 4 now will also have momentum in the coming quarters. So metals we talked about. We talked about the plastics with Figure 4 with the new materials and dental.The other very important part is our software portfolio. We had a very good upgrade in our Control X inspection software. We have a very good product with our Design X product. The other very important thing is our Cimatron and Gibbs CAM, we should be able to start also growing in 2020. And the last thing is with our metals growth, you are going to see a lot of growth in our 3D expert, which is a real, a very innovative product on the metal side. So I believe all these new product introductions we have done in the last six to nine months should also help us in growing our revenue in 2020.
Jim Ricchiuti: Got it. Thanks again.
Vyomesh Joshi: Thanks, Jim.
Operator: Thank you. Our next question is coming from Brian Drab from William Blair. Your line is now live.
Vyomesh Joshi: Hey, Brian.
Brian Drab: Thank you. Hi, Todd. Hi, VJ. So can you repeat what you said, I'm sorry just on the research and development, there was a payment from a customer or it was a payment in the fourth quarter and how large was that and what do you expect R&D to be going forward?
Vyomesh Joshi: So I think Todd talked about, right now we are showing 27% decline in R&D year-over-year and the payment was such that if you exclude that it will be 17% decline in R&D.
Brian Drab: I guess said another way, I mean R&D has been $20 million to $21 million for the previous three quarters, I guess $20 million to $22 million. Is that kind of the run rate still going forward?
Vyomesh Joshi: Yes, yes. We must innovate. I don't think that we are trying to really have a short-term approach to this. We got to innovate, we got to make sure that we have a golden opportunity continue to innovate in materials, software, health care and we need to also upgrade our platforms. So I absolutely believe that we have the right balance now and we just need to make sure we innovate.
Brian Drab: Okay, okay. Thanks. And then for the balance of the SG&A outside of R&D. I mean, I guess you've been through the whole budgeting process at this point and you know if you're planning to -- if SG&A dollars should be higher or lower than 2019 or flat. I mean, is it higher or lower or flat?
Vyomesh Joshi: Yeah. I think we got to invest now our metal platforms we start shipping in second quarter. We got to really go after that opportunity, it's a huge opportunity. We also need to make sure that our health care and software, we put a focused go-to-market organization under Wayne Davey's leadership. I want to make sure that that's a high-margin business for us that we look at the opportunity in making that happen.So I think you could think about -- I think we got the right kind of a cost structure. What we need to do now is to get the revenue uplift. And using that revenue uplift, I think we should be able to get the right kind of a business model in our mind. And we feel that as a percentage of revenue, we need to make sure we look at appropriately the cost structure.Todd do you want to make any comment?
Todd Booth: No, I agree as well. We need to -- we've taken a lot of cost out as you see from 2018 and 2019. So we have the structure in place now but also invest and grow.
Brian Drab: So does that mean up? I'm sorry, just to put a final point on it. Up or flat?
Vyomesh Joshi: As a percentage of revenue, no, it will not be up.
Brian Drab: In dollars, I'm sorry dollars?
Vyomesh Joshi: Dollars will depend on the growth. It will be up. Yeah.
Brian Drab: Okay. Did you say it will be up VJ sorry?
Vyomesh Joshi: So what we said was as a percentage of revenue will be flat. If the revenue is going to grow, there'll be slight up.
Brian Drab: Okay. Thanks. I’ll get back in line. Thank you very much.
Vyomesh Joshi: Thank you.
Operator: Thank you. Your next question is coming from Ananda Baruah from Loop Capital Markets. Your line is now live.
Ananda Baruah: Hi, good afternoon guys. Appreciate you taking the questions. A couple if I could. VJ, could you just, I guess talk a little bit more about the demand environment. It sounds like stable with some beginning impact from coronavirus that's still challenging to dimension. But is that accurate? And then I have a couple of follow-ups.
Vyomesh Joshi: No, no. I think the demand environment as in 2019 with all the manufacturing slowdown and the industrial is still continuing, I wouldn't say that it's stable but it is similar to what we saw in 2019. So I just want to be clear. What I was answering the question, because that reflected in our Q4 revenue right? So based on that if you think about in Q1, what are the other headwinds that's what I was talking about coronavirus. I just want to be clear and there is no confusion on that. But we think that because of our innovation work that we have done and now getting our metal printers and the growth drivers that I talked about, I'm very confident that we will grow our revenue in 2020.
Ananda Baruah: And as far as corona is concerned, you mentioned a couple of things, ODM factory in China and then some of the supply chain stuff. But wanting to wait to see how that all plays out, is there any more context you can provide at least anecdotally…?
Vyomesh Joshi: No. I think we are in the same place with everybody else. We are all trying to figure out how -- today if you ask me, it's not material but things could change and I just don't want to predict anything. I just want to make sure I give you the current assessment of what we have.
Ananda Baruah: Okay, okay. And then last one for me. Just with regards to software growth. So it sounds like you're saying that the new products that have been introduced and then that will be introduced including metals themselves will pull software forward and provide that with good growth.
Vyomesh Joshi: And the go-to-market enhancements we have done, we have put focused, go-to-market organization. I think that's a very important part because we are engaging with the software channel. We are making sure that we have all that new introductions. We can get the awareness up. We can get their lead generation up. We have made a lot of investments in making sure to drive the pipeline because it's not just about the renewing the maintenance contract we want to hunt for new opportunities in software and I think that's our focus is.
Ananda Baruah: Got it. That's really helpful. And then I guess just in that regard how -- can you just refresh our memory -- refresh my memory on which of the software modules that you mentioned, which of those are newer or have been refreshed such that the rest of those when the channel takes place in the market...
Vyomesh Joshi: All of our software portfolio is refreshed. But I'm very excited about our Control X the inspection software. I'm very excited about our 3D expert software which goes with the metals business. And then, the core subtractive software with Cimatron and Gibbs CAM, we are also seeing a good traction. So I really think that we have opportunity in Control X Design X 3D expert so all of our product portfolio. I think the important thing here was more innovation and then having that focused go-to-market to drive the new licenses.
Ananda Baruah: That’s really helpful. I appreciate it. Thanks so much V.J.
Vyomesh Joshi: Thank you.
Operator: Our next question today is coming from Troy Jensen from Piper Jaffray. Your line is now live.
Troy Jensen: Good afternoon gentlemen. VJ good luck in the future here. Quick question for you VJ, I mean your prepared remarks you were pretty bullish on just seeing an acceleration in adoption here. But if you look at kind of product growth and kind of revenues, we haven't really seen systems growth for you guys with respect to sale I'm speaking specifically about. So can you just talk about is it competition? Is it ASP erosion? When do you really think we're going to start to see an acceleration in system growth for your business?
Vyomesh Joshi: Yes. So I think the first one my view is metals because, we have very good platforms especially for production workflows. So if you look at our health care business our 350 platform is very, very much in the center of a lot of medical device manufacturers' growth plan. And with the addition of powder management unit and automation of material handling we think that we should be able to drive a lot of growth especially in the health care business.With our 500 on Factory 500 as aerospace and defense is a very important segment for us. And here we are really seeing a lot of traction from a pipeline point of view. So I do believe that we should be able to get this big system these are multimillion-dollar systems that we should be able to find traction after the second quarter as I said in my remarks. So that's for the metals. And then as I said the associated software for the metals will be very important for the growth opportunity.The second one I do believe our Figure four with our new production materials we are getting a much healthier pipeline now both for our stand-alone and our modular. And then the dental business is still continuing to grow. So I think that's what we will be able to drive. The last part is our SLA machines our 800 it continues to be a star and that's a high ASP machine which is very important for us. So I think what you'll see is high ASP machines like the metal platforms the 800 platform and then mid-range of the Figure four will be the way here to think about our growth in systems.Now clearly, the market has slowed down and hyper-competition is there. So I'm not trying to tell you that it's going to be the growth that you used to see maybe three, four years ago, but I do believe we are set up well for 2020 with the product that I talked about.
Troy Jensen: Okay VJ. And to follow up on metals, there was a quarter last year I think Q1 or Q2 where you said there was an $8 million metal order that you weren't able to recognize because of the material delivery platform. Is that still in the pipeline? Is that something that's shipped in Q2 that's given you confidence that metal can do that?
Vyomesh Joshi: Yes. I think it -- not all of it, but it will start shipping in Q2 and then we feel very good about the growth that you are going to see in the metals. Yes.
Troy Jensen: Okay. All right. Well, good Luck.
Vyomesh Joshi: Thank you.
Operator: Thanks. Our next question today is coming from Paul Coster from JPMorgan. Your line is now live.
Todd Booth: Hey Paul
Paul Chung: Hey guys. It's Paul Chung on for Coster. Thanks for taking our question. So if you could kind of expand on the strength in materials this quarter? And then, do you see some kind of nice momentum for the next couple of quarters there? And then, as we think about metals printer shipments in 2Q what impact do you see on the materials line more so in the second half of 2020?
Vyomesh Joshi: So first of all, materials growth will not be connected to the metal printers because our business model is very different on the metal side. In metal side, it's all about the services and support and the software. I just want to be clear. So, I don't see an uplift in materials growth because of our metal shipments in 2020. The second thing that I want to talk about is and I had talked about the materials growth will come back in second half of 2019 it grew 3% in third quarter and then we grew 7.3% in Q4.And the main -- there are three main reasons for that. First one, that we talked about the installed base growth. And if you remember, we were declining materials revenue in first half of 2019 because our legacy materials were declining and we were not getting the uplift from the new products and the new materials and then all the installed base growth that we had. So that has crossed over starting in second half of 2019.So, the material growth is coming from dental. Material growth is coming from our enterprise customer because they are continuing to really grow their business. It's coming from the core production workflows like the jewelry which is a very important segment for us. And we need to really be looking at growth coming in 2020 but that will be lumpy. Because in some quarters our enterprise customer may order certain value of the materials and then some -- so I just want to make sure. But I think my view was that whole decline in materials, we should be able to start seeing positive side of the materials growth in 2020.
Paul Chung: Got you. And then on free cash flow what should we expect for kind of your CapEx levels in 2020, and your kind of expectations from cash from operations? Can you kind of build off the strength in 4Q? Or...
Todd Booth: Yeah. So on CapEx we had $24 million during 2019. For 2020, we'll be up a little bit, but most of our investment in the medical devices. And then from cash generated from operations we see positive for the full year.
Paul Chung: Okay. So, the working cap benefit is not really temporary, it's kind of a structural change?
Todd Booth: The working capital levels we're currently at -- we feel we're at the right level. So, you're not -- it'll be generating cash from operations going forward.
Paul Chung: Okay.
Vyomesh Joshi: Yeah. I think it's not a one-time thing. It's a structure. The other thing that's very important, we talked about manufacturing outsourcing that we did. We are very happy with Sanmina, who we chose as our manufacturing partner. Most of the plastics are now -- have moved to Sanmina. The transition is going well, because we want to focus on what we are very good at or if there is something which we believe is strategic.As for example, materials manufacturing is very strategic for the company and we are going to continue to manufacture ourselves. The places where we have partners who are going to be world-class, we want to really make sure we do the right kind of balance. And that will help us also in managing overall how we want to look at our supply chain.
Paul Chung: Thanks. And then last question. It sounds like you have some visibility for your metals printer shipments in 2Q. When can we kind of expect some full year guidance? When are you going to start to reinstitute that? Thank you very much.
Vyomesh Joshi: We are not going to give any guidance. We are going to directionally tell you how we look at our business, and we just -- we feel that in this uncertain environment, we just need to make sure we focus on execution and we focus on the revenue growth.
Paul Chung: Appreciate it. Thank you.
Operator: Thank you. Our next question is a follow-up from Brian Drab from William Blair. Your line is now live.
Vyomesh Joshi: Hi.
Brian Drab: Hi. Thanks. Just quickly, I'm trying to model gross margin for 2020 and you had about 46% gross margin for the first three quarters of 2019, and then 44% in the fourth quarter despite good material sales. So, I mean are we kind of going to be below 45%, above 45%? Any thoughts on that.
Todd Booth: What we get is mid-40s.
Brian Drab: So 44% to 46%. Okay.
Vyomesh Joshi: Yeah. So I think Brian, the main thing for Q4 was we had to look at the inventory adjustments that we had to do, because the -- so I think that was the reason. I do believe that for 2020 mid-40s is the right kind of gross margin.
Todd Booth: And one thing on the inventory adjustments, we have brought down the inventory a lot in 2019. So when you do that some of it you take through some expense.
Brian Drab: I got it. Okay. Thanks very much.
Operator: Thank you. Next question is a follow-up from Greg Palm from Craig-Hallum Capital Group. Your line is now live.
Vyomesh Joshi: Go ahead, Greg.
Greg Palm: Yeah. Thanks. Just two quick follow-ups. VJ, in terms of thoughts on your eventual replacement here, I mean what sort of qualities do you think the Board will be looking for really to bring the company to that stage?
Vyomesh Joshi: So, I think we have hired the Spencer Stuart, a world-class firm and we are looking at both the internal and external candidates. And I think we are a technology company, and we must make sure that we will continue to innovate and drive the profitable growth.
Greg Palm: Okay. Fair enough. And I guess Todd one for you. You've been with the company for almost six months now. I guess any more commentary on what you believe are both kind of near and long-term opportunities for the company and maybe what makes you excited here?
Todd Booth: Well, I'll point back to FormNext being there with VJ. He showed me around our products, our digital solutions. I'm extremely excited about the future of this company. And VJ has been a great mentor in my first six months here.
Greg Palm: Sounds good. All right. Thanks.
Operator: Thank you. We reached end of our question-and-answer session. I'd like to turn the floor back over to Melanie for any further or closing comments.
Melanie Solomon: Thank you all for joining us today and for your continued support of 3D Systems. A replay of this webcast will soon be available on the Investor Relations section of our website. Thank you and good night.
Operator: That does conclude today's teleconference. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.